Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Jumia’s Results Conference Call for the First Quarter of 2022. At this time, all participants are in a listen-only mode. After management’s prepared remarks, there will be a question-and-answer session. I would now like to turn the call over to Safae Damir, Head of Investor Relations for Jumia. Please go ahead.
Safae Damir: Thank you. Good morning, everyone. Thank you for joining us today for our first quarter 2022 earnings call. With us today are Sacha Poignonnec and Jeremy Hodara, Co-Founders and Co-CEOs of Jumia as well as Antoine Maillet-Mezeray, CFO. This call is also being webcast on the IR section of our corporate website. We will start by covering the safe harbor. We would like to remind you that our discussions today will include forward-looking statements. Actual results may differ materially from those indicated in the forward-looking statements. Moreover, these forward-looking statements may speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the risk factors that could cause actual results to differ from the forward-looking statements expressed today, please see the risk factors section of our annual report on Form 20-F as published on April 29, 2022, as well as our other submissions with the SEC. In addition, on this call, we will refer to certain financial measures not reported in accordance with IFRS. You can find reconciliations of these non-IFRS financial measures to the corresponding IFRS financial measures in our earnings press release, which is available on our Investor Relations website. With that, I’ll hand over to Sacha.
Sacha Poignonnec : Thank you very much. Welcome, everyone, and thanks for joining us today. Before going into the specifics of performance, I would like to briefly remind you of our current strategy on page 3. We are currently focused on scaling our platform in order to build a fast growing and profitable business in e-commerce and fintech in Africa. We have built very strong foundations for our platform, tailored to the specifics of our markets in Africa, the marketplace, the logistics platform, JumiaPay, payment and fintech solutions. We played the long game from the very beginning to position us for long-term growth and profitability. With this in place, we focused on building robust unit economics. The sequencing here is very important. We wanted to first set solid unit economics for the business before accelerating growth. We reached the important milestone of positive order contribution after logistic cost, and it’s now been the case for 10 consecutive quarters. In parallel, we strengthened our balance sheet, raising $517 million in 2021 and 2020. And we worked on enhancing the diversity and the relevance of our marketplace. And now, two thirds of our GMV is coming from everyday product categories. On that basis, strong platform, strong unit economics, we are now scaling the business towards profitability. The three key building blocks to achieve profitability: number one, accelerating usage growth; number two, accelerating monetization; and number three, improving cost efficiency. Of course, JumiaPay remains a priority for us to drive the long-term value creation. Now, let’s go into our quarterly highlights. In Q1, we’ve delivered strongly on each of those building blocks. Page 4, accelerating usage growth. In Q1 we posted the fastest year-on-year GMV and order growth of the past nine quarters, 27% and 40%, respectively. Next page, accelerating monetization. Excluding consumer incentives which are marketing investments, revenue and gross profit year-over-year growth rates also reached their highest levels over the past nine quarters, 56% and 31%. Number three, next page, improving cost efficiency. Sales and advertising per order and as a percentage of GMV, both reached their best levels of the past four quarters, $2 per order and 7.5% of GMV. And this improvement is taking place while we are accelerating usage growth. Consumer incentives efficiency. Consumer incentives are accounted for as revenue deduction. This efficiency is also improving sequentially, reaching 15% in Q1, compared to 18% in the third and fourth quarters of 2021. This is very much in line with what we communicated to the market in our last review. Back then we said that the focus for sales and advertising over the subsequent quarters would be to increase the efficiency. And that’s exactly what we achieved in Q1. Finally, before going into more details, we move to page 7, our adjusted EBITDA loss. We have of course, been closely monitoring the fundamental macro and market shifts, which have been taking place over the past few months and which are still unfolding. We are very confident in our path and execution towards profitability. In terms of adjusted EBITDA, we believe we are past the peak of quarterly adjusted EBITDA loss that was reached in Q4 2021. We also reiterate the guidance of $200 million to $220 million adjusted EBITDA loss for the full year of 2022. And starting from 2023, we expect to begin decreasing the adjusted EBITDA loss on a year-over-year basis. Now, I’ll hand over to Jeremy to give more color and highlights of our Q1 results.
Jeremy Hodara: Thank you, Sacha. Hello everyone. So, we are on page 9. And we are executing with consistency and discipline to accelerate the usage growth. Our overarching objective continues to be further enhancing Jumia as the digital destination for everyday needs and occasional purchases in Africa through a combination of marketing, commercial, logistics and technology levers. On marketing, we continue our investments in consumer adoption and retention. The brand awareness is crucial, particularly as we operate nascent e-commerce markets. We are very pleased to see Jumia ranked number six in the 2021 Most Influential Brand survey in Egypt by Ipsos source out of a total of 118 international and local brands, up from seventh position the year before. Importantly, we came number one in the digital and e-commerce category for the second year in a row. This is a very good achievement, as Egypt is our second largest market and the one where we operate alongside Amazon. This is a testimony to the strong execution of our team on the ground. And I want to salute them for their efforts. We’re also incredibly grateful to our customers for their trust, and we continue to work very hard on bringing them more convenience and relevance. On commercial, we’re focusing our execution on further penetrating the everyday product categories. In Q1 ‘22, we added almost 1 million SKUs in the FMCG category, the highest number of SKU adds in this category in the past eight quarters. We continue to work very closely with brands. An example of that is the pan-African partnerships we established with each of Coca-Cola and Danone across both our e-commerce and food delivery platforms. On logistics, our current execution focuses on further improving the speed of delivery and its cost effectiveness. For example, we’re running out next-day free shipping on Jumia Express items for basket sizes above the minimum threshold. Jumia Express is an end to end logistics service provided to sellers, where items are stored in our warehouse and picked and packed by Jumia. In Q1 2022, while we were still in the early days of this rollout, we already had 57% of shift packaging, reaching consumers within 24 hours of order placing. Last but not least, technology enhancement is a key area to accelerate usage growth. Thanks to increased tech headcount, we’re accelerating product development and new feature rollout. In Q1 2022, we released revamped version of our homepages and product description pages for more easy to use and engaging experience on the platform. The consistent execution on this four levers is what’s driving the strong growth acceleration that you can see on page 10. On page 10, first, in Q1 2022 versus Q1 2021, we had more consumers buying more often. That’s exactly the kind of play we want to see on our platform. Quarterly active consumers reached 3.1 million, up 29% year-over-year, as a result of robust increases in both, new and returning customers. We have been driving a consistent increase in quarterly purchase frequency over the past five quarters, reaching three orders for quarterly active consumer in Q1 this year, compared to 2.7 others same quarter the year before. Second, we posted in Q1 the fastest order and GMV growth rates of the past nine quarters, orders accelerating by 40% year-over-year, reaching 9.3 million. We also posted a strange GMV growth, notwithstanding the FX headwinds with GMV, which seem $252.7 million, up 27% year-over-year, and 35% on a constant currency basis. Just to give you a bit more color on the FX dynamic this quarter, we had 10 of our 11 local currencies depreciating against the dollar, in particular the Nigerian naira, the West African CFA franc and the Moroccan dirham, depreciating by 9%, 7% and 6% respectively against the dollar in Q1 this year compared to Q1 2021. Regardless of the FX volatility, there is very strong broad-based momentum across the business. On page 11, you can see that all product categories are growing in both, GMV and items sold terms. Despite the volatility in the supply chain situation for phone and electronics, we drove positive inflection in Q1 in these categories, which contributed to both, GMV and items sold growth. The everyday product categories continue to be important growth drivers, and I’d like to call out the FMCG and food delivery categories, which really stood out in terms of volume growth in Q1 2022. FMCG was up 180% year-over-year, while food delivery was at 86% as we leverage both our e-commerce and food delivery platforms to meet the everyday needs of consumers in food items and staples. The strong volume growth in these categories is also translating into largest GMV grows with FMCG and food delivery growing by 75% and 61% year-over-year, respectively. The focus in everyday product category over the past two years drove a fundamental shift in GMV. On page 12, you can see that phones and electronics went from accounting 45% of GMV in Q1 2020 to 33% in Q1 2022. In contrast, both JumiaPay app service and food delivery saw the contribution to GMV increase by 4 percentage points over this period from 9% to 11%, respectively in Q1 2022. Within the everyday product categories, the home and fashion categories remained consistently the largest two product categories, each coming in a mid to high teens share of the GMV. Average order value stood at $27 in Q1 as we further penetrate more affordable smaller ticket size categories. This strategy of increased product category diversification in favor of everyday items, not only a major driver of growth acceleration, which is also providing more resilience to our business model as we increase our exposure to staple categories. And that’s crucial in periods of macro volatility, such as the one we are currently going through. Compared to a couple of years ago, our platform is bigger, faster, growing, and much more diversified and resilient. Let’s now move on to another key priority for us, which is JumiaPay on page 14. We achieved a major milestone in Q1 as we are granted by the Central Bank of Nigeria, a Payment Service Solution Provider license or PSSP license. This is an instrumental license that will allow us to start offering JumiaPay payment processing solutions off-platform in Nigeria. We have now obtained relevant licensees to start off-platform payment processing in our two largest markets, Nigeria and Egypt. We intend to scale the business progressively and in a disciplined manner to ensure the quality and safety of payments solutions for merchants and consumers, both on and off-platform. Over the next few months, we’ll be focused on adapting our payment product suite for an off-platform environment and build out additional relevant features for third-party merchants. In parallel, we continue expanding the range of digital and financial services available to consumers on the JumiaPay app. We have provided here the example of an e-doctor service that we’re piloting in Nigeria, allowing consumers to access doctors remotely for a monthly subscription fee of $1. This initiative is in partnership with the CGAP, Consultative Group to Assist the Poor, a global partnership of more than 30 leading development organizations, as well as Meeting Doctors, a digital health service provider. Let’s now move on to the performance of JumiaPay on platform, starting with TPV, page 15. JumiaPay TPV increased by 37% year-over-year and 45% on a constant currency basis. Despite the FX headwind, TPV posted its fastest growth rate in USD terms of the past five quarters supported by the strong growth in GMV. TPV penetration as a percentage of GMV reached a new high of 28% in Q1, up from 26% in Q1 the year before as we focus on increasing the penetration of JumiaPay in the disciplined and gradual manner. Turning to transactions on page 16. JumiaPay transactions reached 3.2 million in Q1, up 32% year-over-year, supported by accelerating volume growth across the business and in the food delivery category in particular. Overall, 34% of orders placed in Q1 2022 were completed using JumiaPay compared to 37% in Q1 in 2021. Here, I want to flag that we did increase JumiaPay transactions penetration as a percentage of orders across Jumia e-commerce and food delivery platform. We see very good transaction momentum in our e-commerce and food delivery platforms where JumiaPay transaction growth outpaced the growth of JumiaPay app transactions. Because the JumiaPay penetration is 100% on the JumiaPay app, the reduced share of JumiaPay app in the transaction mix led to a decline in the overall JumiaPay transactions penetration as a percentage of orders. Overall, the growth momentum of JumiaPay on platform is very robust, and we are very excited to embark on the next phase of our journey in payments as we prepare to take our payment solution off-platform. I now hand over to Antoine, who will walk you through our financial performance in more detail.
Antoine Maillet-Mezeray: Thank you, Jeremy. Hello, everyone. I will start with the monetization performance, which illustrates the progress and the second building block of our path to profitability, accelerating monetization. We want to balance such usage growth with robust monetization of our platform as we build a diversified monetization engine. That’s exactly what we achieved in Q1 ‘22. On page 18, you can see that as we posted strong usage growth, we delivered the fastest revenue and gross profit growth rates in over two years, excluding consumer incentives, which are marketing investments in nature at 56% and 31% year-on-year, respectively. FX was a headwind to top-line growth this quarter. So, on a constant currency basis, these rates are even higher at 65% and 38% year-on-year, respectively. Let’s now unpack revenue growth dynamics on page 19. As a reminder, we have three main revenue components. The first one is the first party revenue that we earn on business undertaken on the first party or retail basis. The second one is the marketplace revenue, which are the various fields we generate from our third-party activities. The third component is other revenue, which at this stage mainly includes revenue from our logistics-as-a-service activity launched in 2020. These buckets will include in the future revenue from off-platform payment processing, once this activity is up and running. In terms of revenue trajectory, we observed three main things, first, the strong revenue growth, up 44% from $33 million in Q1 ‘21 to $47.6 million in Q1 ‘22. The growth was even stronger in constant currency, down at 53% year-on-year. Revenue growth was supported by a strong acceleration in first party revenue, which was up by a factor of 2.5 as we undertook more business on a retail basis within our grocery category. Second, we are seeing very good traction in our newer monetization streams, such as advertising or logistics-as-a-service, which is a major part of other revenue. Third, this revenue growth momentum is giving us the flexibility to invest into growth in the form of consumer incentives, including sales discounts, shipping discounts, and free shipping. Let’s now dive deeper into the various components of marketplace revenue on page 20. Excluding the impact of consumer incentives, marketplace revenue was up 25% year-on-year and 32% on a constant currency basis. This was supported by the strong momentum in value added services and marketing and advertising revenue streams. Value added services increased by 49% year-on-year, partly as a result of an increase in international logistics revenue. Marketing and advertising was up 40% year-on-year, supported by an acceleration in the number of advertising campaigns, which was up 55% year-on-year, as we run over 480 campaigns on behalf of almost 9,000 advertising clients. Advertising clients during the quarter included high profile brand partners such as Unilever, L’Oréal, Adidas, Xiaomi, Coca-Cola, Krispy Kreme, Burger King and many more. Commissions and fulfillment revenue are both impacted by consumer incentives. Excluding this impact, Commission’s revenue was at 29%, driven by usage growth, while fulfillments revenue was at 4% as we choose to reduce the shipping pass-through to customers. Moving on to gross profit on page 21. We drove a significant step up in gross profit before the impact of consumer incentives which accelerated by 31% year-on-year and 38% in constant currency, while the margin as a percentage of GMV reached 13.8%, up almost 40 bps year-on-year. We are leveraging the strong level of underlying monetization to invest more into price competitiveness and shipping discounts, allowing us to increase the amount of consumer incentives from $2.1 million in Q1 ‘21 to $7.2 million in Q1 ‘22. Going forward, the growth in monetization will be partly reinvested to fund our free shipping initiative. Even after the impact of consumer incentives, the growth trajectory in monetization over two-year period is very strong. Between Q1 ‘20 and Q1 ‘22, gross profit was up 36%. We are all very pleased with the strong monetization performance in Q1 ‘22 and are even more excited by the new revenue streams we are developing. In this context, I would like to give you more color on page 22 on one of these new revenue streams, our logistics-as-a-service offering. At the beginning of our journey, logistics was one of the most challenging aspects of our operating environment with multiple hurdles, such as the lack of addresses and lack of organized and reliable capacity, storage space issues, the predominance of cash on delivery, and so on. 10 years into our journey, we can confidently say that we’ve cracked most of these issues. We have built a tech-rich asset-light logistics platform with strong reach across all countries of operation. Our network counts over 700 logistics partners that we manage and integrate to our platform through a dedicated tech stack. We also have an extensive physical network of 50,000 square-meter of warehousing space, and we have 3,000 drop-off and pickup stations. Today, we are in a position to help other businesses overcome these infrastructure challenges by giving them access to our logistics platform. We offer end to end logistics services from warehousing and pick packing to door delivery and payment collection with full visibility and tracking of the journey of the package. Our offering is familiar and can be adjusted on an account basis to suit the needs of our logistics clients. We are seeing very good demand from the sales. The number of packages shipped in Q1 ‘22 reached a new record of 3.5 million, generating over $1.2 million in revenue from more than 1,250 clients. Let’s now move on to costs, starting with fulfillment expense on page 24. Fulfillment is largely viable cost and evolved in line with volumes in Q1 ‘22. As we grew orders by 40% year-on-year, fulfillment expense was up 42% and 50% on a constant currency basis. Here I would like to point out that fulfillment expense includes both, the cost associated with Jumia platform orders and the cost associated with our logistics-as-a-service offering. The number of packages within this activity increased significantly from 0.8 million in Q1 ‘21 to 3.5 million in Q1 ‘22. Moving on to sales and advertising expense, page 25. As mentioned by Jeremy earlier, marketing investments are core lever to drive usage growth. And we continued increasing these investments on a year-on-year basis in Q1 ‘22. Sales and advertising expense reached $18.8 million, up 94% year-on-year and 99% on a constant currency bases. That’s in the context of a very low account base over the past two years, with sales and advertising expense significantly curtailed in 2020 and up until the middle of 2021. When we take a three-year perspective, the Q1 ‘22 sales and advertising amount is modestly above pre-pandemic levels with the three-year CAGR of 12%. The main change is the channel mix of marketing investments, with an increased share allocated to above the line channels, such as TV, radio, video advertising, et cetera, from 28% in Q1 ‘19 to 37% in Q1 ‘22. When we look at the sequential trends over the past nine months, we can see that we are slowing down the pace of marketing investment increases by 228% and 159% year-on-year in the third and fourth quarters of ‘21 to 94% year-on-year in Q1 ‘22. As we move beyond the initial phase of marketing ramp-up of H2 ‘21, we are stabilizing the levels of marketing investments, and starting to generate better marketing efficiency. On page 26, we can see significant improvements sequentially in marketing efficiency metrics. Sales and advertising expense per order and as percentage of GMV, both reached in Q1 ‘22 their lowest levels in four quarters at $2 per order and 7.5% of GMV. This is an important development in our progress towards profitability, as we are now scaling the business while improving marketing efficiency. Moving on to technology and G&A cost on page 27. Technology continues to be an important area of investment for us to support the long-term growth of our business, both on the e-commerce and payment fronts. Technology expense reached $13 million in Q1 ‘22, up 56% year-on-year and 62% on a constant currency basis, as we increase technology headcount to support innovation and product development. G&A, excluding SBC, reached $13.1 million in Q1 ‘22, up 23% year-on-year and 30% on a constant currency basis. This is mostly due to an increased hiring in the second half of ‘21 to strengthen the management team in selected areas to support the long-term growth of the business. On a sequential basis, G&A excluding SBC was down 6% compared to Q4 ‘21. We believe we have the right team structure at this stage and expect the G&A base to remain relatively stable going forward as we reinforce strong discipline on hiring and overhead costs. Turning now to adjusted EBITDA loss, page 28. Adjusted EBITDA loss reached $55.3 million in Q1 ‘22, up 70% year-on-year and 76% on a constant currency. The year-over-year comparison is impacted by a low base in Q1 ‘21 where adjusted EBITDA loss was down 17% year-on-year. Importantly, as mentioned by Sacha earlier, we believe we are now past the peak of adjusted EBITDA losses, which was reached in Q4 ‘21. Let’s now move on to balance sheet and cash flow items on page 29. CapEx in Q1 ‘22 was $1.7 million. We are yet to see the effect of logistics investments as we guided towards $15 million to $25 million of CapEx in 2022 for logistics capacity expansion and upgrades, which will be mostly carried out over the second half of ‘22. That change in working capital resulted in an outflow of $23.4 million in Q1 ‘22. Historically, working cap had a relatively neutral cash flow impact on a yearly basis. That said, it can be impacted quarterly by cut off effects [ph] and upfront prepayment. This was the case in Q1 ‘22, where we paid upfront the cost of yearly hosting services to take care of better pricing. Cash utilization for the quarter was $78.2 million in Q1 ‘22, impacted by the working capital outflow during the quarter. At the end of March ‘22, we had a liquidity position of $421 million, comprised of $89 million of cash and cash equivalents and $333 million of term deposits and other financial assets. With that, I’ll hand over to Sacha for concluding remarks.
Sacha Poignonnec: Thank you, Antoine. Thank you, Jeremy. I think a very strong quarter of execution on our strategy to scale the business towards profitability, and importantly, the quarter where we can see some quick results on the three building blocks of our path to profitability. And we have clear initiatives underway to make even more progress on each one. On usage growth, we all know, there is no profitability without bigger scale. You’ve heard us say it multiple times in the past. In Q1, we accelerated growth very nicely, fastest order growth, fastest GMV growth rates of the past nine quarters. And as we look ahead, we intend to maintain this good momentum that we currently have on usage growth by continuing our execution on all relevant areas of the business. And here, it’s not just maintaining marketing investments and improving their efficiency. It’s about keeping the great work that we’ve been doing on the everyday product categories. It’s about going to the next level on the logistics front, with the rollout of the next day, free shipping and free delivery on Jumia Express. And of course, it’s about continuing to be a great technology to offer even more seamless and engaging experience for the consumers on the platform. On monetization, we want bigger scale to drive more revenues and gross profit dollars. We do not believe in the growth model that frontloads scale without a robust monetization model in place. In Q1, excluding consumer incentives, we recorded the fastest revenue and gross profit growth rate in over two years. And we still have great upsides to accelerate monetization, leveraging the diversified engine that we have built. On first party revenue, we grew first party revenue by over 80% year-over-year, over the past nine months. This is now allowing us to further enhance our margins. And regularly negotiate volume rebates with our suppliers. On the marketplace, same logic applies. We’re leveraging the accelerating usage growth to extract more monetization. We brought a lot of growth over the last nine months to our third party sellers. And today we have room to increase commission take-rates in a number of categories. We’ve already started doing that, but of course, as always, in a gradual and disciplined manner. And as we have referred earlier to the rollout of the free next day delivery on Jumia Express, this is an enabler for us to increase the monetization of Jumia Express, so lots of opportunities in the marketplace revenue. In addition, further monetization of upside on advertising, logistics-as-a-service which are still nascent today, but we have very good traction as you have seen. And we have potential also here for a lot of growth. And finally, we have now obtained a license in Egypt and Nigeria to pay JumiaPay platform and this is a long term very exciting meaningful revenue growth opportunity. It’s not a prerequisite for us to reach breakeven, but it will be incremental monetization upside to give us even more flexibility and optionality in our path to profitability. And finally, on the third building block, cost efficiency in Q1, we’ve seen our marketing efficiency improve, both on a per order basis and percentage of GMV, reaching the lowest level in the past four quarters. We still have meaningful potential to drive further efficiency gains in marketing, generate operating leverage on tech and G&A with reinforced cost discipline across the cost structure and the overheads, in particular. For the full year 2022, we continue to focus on those three building blocks. And here we take the opportunity to reiterate and add on the guidance that we provided during the last quarter release, which is that we expect further acceleration in year-on-year GMV growth in 2022 compared to what we saw in H2 of last year, where the growth was 15%. We’re stabilizing the level of marketing investment and we confirm that we expect to invest between $50 million and $55 million in sales and advertising for the first half of 2022. And this compares with $55 million in H2 of 2021. So, very similar level of investment, and this is why we call this a stabilization. Then we expect -- we confirm I would say to -- expect to invest between $15 million and $25 million of CapEx this year. Of course, we are very cash disciplined that we’re committed to investing in the long-term strength of the platform. And the CapEx investment will be focused on the logistic platform obviously, and will allow us to increase our reach, increase our speed of delivery and drive also cost efficiency going forward. And we also confirmed that we expect an adjusted to be the loss for the full year between 200 and 220 compared with 197 last year. And on a quarterly basis, we believe that we are past the peak of adjusted EBITDA loss which was reached in Q4. And starting from 2023, we expect to begin decreasing the adjusted EBITDA loss on a year-over-year basis. And now, before going into Q&A, those -- this was a lot of numbers but let’s just remind ourselves for a second of the huge opportunities that we are pursuing here, and as well as the great impact that we’re having on the continent and beyond. We believe we have decades of growth ahead of us. There are hundreds of millions of potential consumers who will enter the market over the coming decades. The market opportunity is massive. Nigeria will be the third most populous country on the planet in 20, 30 years, just after China and India. Egypt is an amazing market. We have spent years building a platform to serve those consumers. This is very hard and this is very unique. We have a very strong position in our market and you’ve seen in Egypt number one e-commerce brand. What we’re doing today is both addressing our ongoing path to profitability and lay ground to capture the long-term opportunity. And last but not least, we’re impacting the lives of millions of consumers and sellers across the continent. Thank you very much for your attention. And we’re now ready for questions.
Operator: [Operator Instructions] Thank you. Our first question is coming from Aaron Kessler with Raymond James.
Aaron Kessler: Great. Thank you. A couple of questions. Maybe first, just on the consumer incentives. Now that you’ve been running the consumer incentives for a couple quarters now, can you talk about maybe the effectiveness of that and maybe a conversion rate and maybe the ROI of those customers that are using consumer incentives in terms or repeat shopping, et cetera? And then just maybe on the lower sales and marketing spend in the quarter, are you finding more marketing efficiencies kind of versus prior quarters, or is that just maybe a step down more due to kind of Q1 seasonality? Thank you.
Sacha Poignonnec: Thanks, Aaron, very good questions. On the consumer incentives, consumer incentive is for us completely integrated into our marketing strategy, which is to drive the customer lifetime value for the long term, right? So, here, we have different stages of the funnel for the consumers, from driving the awareness of the existence of Jumia to driving the adoption. And then, as we drive the adoption, to drive the loyalty and repeat purchase, which ultimately form the customer lifetime value. And in terms of consumer incentives, we have different types, of course, right? So, there are certain consumer incentives which are price reductions of certain products, where we tend to lower products, for example, the lower the price of the product to drive adoption, to drive repeat. There are certain coupons and vouchers, which can be distributed to various segments of consumers, based on the objective that we have, for those, for example, to make them discover a new category or to make them discover Jumia Express or to make them buy for the first time -- different types of strategies to engage the various segments, which are there. And then, of course, there is the shipping fee reduction that we are trying through free shipping program. So, here, we have, I would say, wide range of strategies, which are at play, when it comes to consumer incentive. And they’re, as I said, an integral part of our strategy to drive the long-term CLV. And as you pointed out, we started to ramp up the investments in consumer incentives together with the ramp-up and in sell advertising. I think it was more or less during the Q2 of last year, right? So, I think here, we have a lot of learnings and we will optimize and we continue to optimize, we see strong efficiency. And we’re quite happy with what we’re seeing. And I think it’s driving a lot of CLV overall. In terms of sales and advertising. It’s here, I think we are making -- we’re standardizing the investments from H2. And there’s certainly a little bit of seasonality, which is always happening in Q1, because it’s the New Year, it’s post Christmas, it’s post the year-end spend, and so on and so forth. But I think here, we’re seeing some pretty good improvement of efficiency. And certainly, there is going to be always some inflect -- or some variation in the amount of sales and advertising that we spend, I think we will always actually expect to spend a little bit more in Q4 than in Q1, but I think the efficiency level that we’re seeing are confident that we can continue to gradually sustain them and gradually improve them over time. So, they are not -- the increased efficiency is not particularly related to spending less and we think that we will in the long-term continue to drive efficiency.
Operator: Our next question is coming from Lamont Williams with Stifel.
Lamont Williams: The first question I have is, what are you seeing from your buyers on the platform in the midst of some of the macro challenges, the high inflation and whatnot? And what do you expect you’ll see kind of as we go through the balance of the year? And then, I have a follow-up.
Sacha Poignonnec: Yes. I mean, it’s a very important question. And I think it’s still unfolding in many ways, right, because many things are happening, almost on a daily basis and impacting the consumers, the supply, the prices, and as say, and whatnot, as you said, right? So, there’s a lot. Look, I think, at the end of the day, we are amazingly well positioned because we are offering a very wide range of assortment. And we are offering solutions and access to consumers of products, which are very relevant with our position in the everyday categories, and we have very good prices. So, at the end of the day, we are a reflection of the supply and whatever disruption is happening on the supply. Of course, we’ll -- disrupt the supply everywhere. But the beauty of Jumia is that we bring this amazing assortment, we bring this amazing experience and we bring very good prices. So, consumers will still need to buy everyday products, they will still need to do that. And if at all, when there is more pressure, I would say on prices and on their wallets, consumers are more picky and consumers compare more. And I think that positions us very well, right? So, I think we’re pretty confident that whatever happens, we are relevant, and we will be relevant given our positioning and given our value proposition. And now, of course, some categories will suffer, right, and some categories, consumer will trade down and more consumers will delay some purchases. So, we know I think not all categories will do well this year. But we will do well, because we are well positioned on everything and on everyday categories especially.
Lamont Williams: Okay. And then, on more of a longer term question. You talked about a couple of interesting off-platform initiatives with JumiaPay. How are you thinking about the monetization over time? Is there any kind of timing around that and kind of what can we expect to see that, how we expect to see that to develop over time?
Sacha Poignonnec: Yes. I think -- I mean, we’re starting to see on the two platforms -- we have two, we have advertising more of an on platform, but then we have advertising and then we have JumiaPay and then we have Jumia logistics and advertising. I think it’s moving well. We can see the good growth rate this quarter. And we are rolling out a lot of solutions to help brands advertise on Jumia. And I think this is an area that will continue. It’s starting to show some real impact and will continue in the future. The second one of course is logistics. We start to display some numbers and we’ve seen the number of packages that we shipped this quarter that we have over 1,000 clients and that we start to generate over 1 million of revenue. So, I think this is moving well. And we see here the long-term opportunity, which is very big in logistics. Of course, it’s not a secret that logistic in Africa is very hard. And I think we’ve developed something that is absolutely unique. And, I mean, 57% of our ship packages reach custom -- consumers within 24 hours in Africa, right? I mean, this is, I think exceptional. So, this asset, I think we’re going to continue to develop it and bring you the numbers. We don’t give specific guidance because it’s still early days. And as we have more visibility and so on, we’ll bring more guidance. I think for now, we bring the numbers as they are. And we are committed to continuing to grow it without giving particular guidance. I think on JumiaPay, JumiaPay is a long-term very important asset for us. And here, you don’t go lightly into -- starting to process, third party payments. This is a new area. And the first step is to get the license. And this step is already a huge achievement on its own. So, to get a license, you have to develop a number of processes. And you’ll have to, of course, apply to the central bank, and then pass a number of audits and verifications, and so on. And we’ve obtained that which speaks very highly of the quality of the product that we have built, our level of compliance, our level of execution on JumiaPay. And now that we have those licenses, we are going to tailor our solution to the merchants and start rolling it out. So, I think we are still several quarters away from showing meaningful revenue, because we are now in the phase of adapting the product to take it to the market. So, this is more something that I think will start updating at least in a few quarters.
Operator: Thank you. Our next question is coming from Sarah Simon with Berenberg.
Sarah Simon: I’ve got a couple of questions. First one was on working capital. And you -- there was a comment in the release about taking on more first party inventories. I’m just wondering how we should think about working capital in that context going forward? Because I assume there you’ve got to pay for the goods before you start selling them. That was the first thing. The second one was on the repeat purchase rate? Can you give us an idea? Because I don’t think you’ve ever told us this. What proportion of your customers, let’s say, in the current quarter, the active customers, are people who have previously shopped on Jumia? Or maybe said the other way, which is what percentage of the customer growth came from completely new customers? That would be helpful. And then, the final one was just in terms of the phasing of advertising. Obviously, your guidance for H1 implies quite a lot of increase in spend in Q2. Can you just remind us what sort of promotional weeks there are in Q2 versus Q1, if it’s to do with kind of advertising to the event, or if there’s something else behind that phasing?
Sacha Poignonnec: I think to start with the last one, because it’s kind of the easiest. We usually do the Jumia anniversary in June or sometimes in July, depends on the number of things, as you know, calendar dates around Ramadan, and the rainy season in some country and so on. But this year, it will take place in June, and this year is the 10-year anniversary of Jumia. So, this is typically a good opportunity for us to bring lots of good prices, good deals, and just good momentum for our sellers and our consumers. So, that’s why in Q2, you will see more investment in Q1 is for this specific anniversary.
Sarah Simon: Okay. And when was Jumia anniversary last year? When did you the anniversary last year?
Sacha Poignonnec: Yes. You have to refresh that exactly the date. I believe last year was also fully in June, but to some countries overlapping in July. I would say most of the countries fall in June, and some of them June and July. We can follow-up separately to make sure you have that, when we release Q2 anyway, we will provide such comparison to make sure that there’s no calendar effect. On the working capital, yes. Well, I think we are conducting more first party, because I think it’s the market requires it and it’s a good opportunity for us. I think, we are going to see the inventory level continue to increase. But at the same time, we’re getting also increased payment terms over time, right? So, I’m not sure the net-net impact on the cash would be significant. If inventory was to increase or will increase, I think we will also get payment terms. And we tend to have to do retail on high turning SKUs, right? So, we don’t tend to buy, let’s say, for next year’s -- the fashion collection, right? We will buy some FMCG for the next few weeks, or we will buy some electronics for the 10-year anniversary or something like that, right? So, I don’t think that we would see a meaningful, meaningful impact on working capital because the increased inventory would be compensated by increased payment terms or by just short selling cycle. And then, I think on cohort, yes. I mean, there’s a number of questions I think here. We’ve been publishing in the past some data points on loyalty, some data points on the split of returning and new consumers. And so, here, I will simply answer qualitatively that we are seeing very good momentum, both on the loyalty and on the adoption. At some point in the future, we hope or we may decide to publish more data. It’s hard to just comment here quantitatively, without giving the numbers. But qualitatively, I can tell you that we’re seeing good momentum on both, adoption and loyalty.
Operator: Our next question is coming from Luke Holbrook with Morgan Stanley.
Luke Holbrook: I was just going to ask you on from the unit economics perspective. On the one hand, you’re making quite a few efforts to improve consumer frequency, but on the other hand, average order values has declined, I think 9% year-on-year in the first quarter. So just basically wondering how that impacts your roadmap to profitability, where you think that the average order value starts to stabilize? And I’ve just got a follow-up after that. Thank you.
Sacha Poignonnec: Yes. Thank you for the question, Luke. I think, you’re right, the average order value is going down 9%. And I think this is expected. And I think this is a trend that will continue. It’s hard to predict exactly where the AOV is going to stand. But certainly, I think we continue and we will continue to see it coming down over time. Maybe not at that speed, but here, it’s hard to predict. And I think you’ll see that I mean, over the last few years, we’ve managed to really build a sustainable unit economics to drive the profits of the orders. And you see the gross profit as moved from $3.4 to $4, now $3.7, but I would say this is quite positive that despite going from 33 to 27, we managed to keep the same dollars for gross profit, right? So the percentage of AOV we’re now almost at 14% of gross profit. So we’ve managed to grow by 4 points as we saw the average order value going down. The fulfillment expense, we managed to capture slight efficiency. Of course, here, there are lots of things which are at play. And so, we’re still generating $1 out of the $27 after, fulfillment. So I think we’re seeing that our business model is very adaptive and manages to adapt to the shifts that have been happening towards the everyday categories. And now, it’s really about rolling out all these initiatives that we mentioned on driving more revenues and driving better margins on retail, driving better commissions and pass-through on the marketplace, driving more monetization on Jumia Express, increasing advertising revenues, now that we also work even more with FMCG, we have the opportunity to tap into the marketing contributions of those suppliers and those sellers, and then logistics, logistics and JumiaPay. And as we roll out all those, we need to see the dollar value of the gross profit after fulfillment increase. So, I think here, we are certainly not worried by the drop of the AOV. I think it’s something we are actually driving. We are in a good place. But we want to be in an even better place and continue to drive more monetization to improve our gross profit and to grow the absolute dollars that we’re making after fulfillment. 
Luke Holbrook: And also, just as a follow-up, in the last couple of years, you’ve been impacted a little bit by supply chain issues, sourcing of goods in the current inflationary environment and the issues that have resulted across the world, how does that impact you going forward? Will this result in kind of a buildup in inventories? And just as another side point as well. Can you just comment on the local press reports on the possible bid to acquire the company? It would be helpful.
Sacha Poignonnec: Yes, of course. I think on supply chain, I believe really that I mean, a lot of the negative impacts during the COVID year was about curfews and local disruptions of not being able to move the products around, having our sellers not being able to come and deliver in our warehouse, because of restrictions of movements and things like that, which were really, really impacted almost like the supply chain, but from a logistics perspective, right? The issues that we see on the supply chain in terms of access and parts not arriving or not leaving China or things like that have been happening, will continue to happen. And this is I think the answer I was giving to the earlier question, which is we are a reflection of the market, we are very well positioned with the everyday categories. So, whenever there is some disruption on a category, it’s going to impact that category, but overall people still need to function, if I may use that expression, right, and you will come and look for the categories that they need and for the everyday categories, which are extremely important and extremely relevant. So, I think this is what we expect for that. Now, in terms of the market rumors, we do not comment on I would say such speculations. And as per the U.S. securities law, any shareholder who has more than 5% needs to make himself known. So, I guess, that’s what we would expect. So, here we cannot comment on speculations like that. But again, if any one passes the 5%, they will have to make themselves known.
Operator: [Operator Instructions] There appear to be no further questions in the queue. Do you have any closing comments you’d like to finish with?
Sacha Poignonnec: I just want to thank everyone for the support, and looking forward to a great Q2, great Jumia anniversary, 10 years. And we’ll reconnect together in three months. And in the meantime, we are always available to discuss and connect. Thank you everyone. Take care.
Operator: Thank you, ladies and gentlemen. This does conclude today’s conference call. You may disconnect your lines at this time. Have a wonderful day. Thank you for your participation.